Operator: Good morning. My name is Colin, and I will be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy’s 2024 Q1 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. This is Darlene Gates, CEO. You may begin your conference.
Darlene Gates: Good morning, everyone, and thank you for joining us to review MEG Energy’s first quarter 2024 financial and operating results. With me on this call are Ryan Kubik, our Chief Financial Officer; Lyle Yuzdepski, our Senior Vice President of Legal & Corporate Development; and Erik Alson, our Senior Vice President of Marketing. I’d like to remind our listeners that this call contains forward-looking information. Please refer to the advisories in our disclosure documents filed on SEDAR and our website. I’ll keep my remarks brief today. If you’d like further detail on our first quarter results, please refer to yesterday’s press release. MEG Energy is a leader in sustainable, innovative and responsible energy development and I’m excited and grateful to lead this organization in my new capacity as President and CEO. On behalf of the entire Board and management team, I want to thank Derek Evans for his contributions to the organization over the past six years. MEG has a bright future ahead and will maintain its focus on safety, operational excellence, and shareholder returns. I’m confident that we’ll leverage the unique strength of our asset and the talents of our people to continue delivering long-term value for our shareholders. This was demonstrated in our strong first quarter safety, operating, marketing and financial performance. Despite record cold weather and increased drilling activity in the quarter, we achieved a total recordable injury rate of 0.22 and no lost time incidents. First quarter production averaged 104,000 barrels per day, which was delivered at a top tier steam to oil ratio of 2.37. Our 2024 redevelopment in infill program kicked off to a strong start. We also began steaming the first our two well pad program, which is scheduled to start up in the second quarter and will reach peak production later this year. We are performing planned maintenance in the second quarter and expect production to average around 100,000 barrels per day. But our significantly reduced turnaround scope spread more evenly throughout the year will help achieve our 2024 production guidance of 102,000 to 108,000 barrels per day. Operating expenses net of power revenue in the first quarter averaged an industry-leading $6.37 per barrel, which included non-energy operating costs of $5.18 per barrel. Low natural gas and favorable power prices continue to benefit our business with power revenues offsetting 68% of energy operating costs. Capital investments for the quarter totaled $112 million directed towards drilling activity on SAGD pads and our short cycle redevelopment and infill program. Engineering and design work on our growth plans is also progressing well with a final investment decision and associated ramp up in expenditures expected in the second half of the year. On the revenue side, we continue to realize strong value for our bitumen. Average first quarter bitumen realization after net transportation and storage expense was $60 per barrel, which represents a 38% increase over the same period in 2023 despite higher mainland apportionment. In the second quarter, our marketing strategy with access to the U.S. Gulf Coast increased our Edmonton realized blend sales price after net transportation and storage expense by US$1.54 per barrel relative to Edmonton AWB index. These price improvements along with strong operational performance generated $329 million of adjusted funds flow for the quarter. After $112 million in capital expenditures, MEG generated $217 million of free cash flow. That free cash flow facilitated the repayment of US$105 million in senior notes and repurchase of a $127 million or 4.7 million MEG shares. Our net debt at the end of the quarter was US$687 million and we’re on track to reach our US$600 million net debt target in the third quarter. At that point, we’ll transition to returning 100% of free cash flow to shareholders. In March, we renewed our normal course issuer bid for another year, which facilitates that continued return of capital to our shareholders. As announced last week, the Trans Mountain pipeline expansion is approved for operation. This marks a significant milestone not just for MEG, but also for Alberta. This pipeline provides excess transportation capacity out of Canada for the first time in many years, which should narrow and reduce the volatility of our heavy oil differential. The Pathways Alliance continues to advance its proposed foundational carbon capture and storage project. The alliance is in discussions with the federal and Alberta provincial governments on different fiscal and policy tools for large scale projects such as ours. This support will help us to derisk the investments needed to build a competitive clean economy and help meet Canada’s climate goals. Regulatory applications to the Alberta Energy Regulator began in mid-March, seeking approvals for the Pathways CO2 transportation network and storage hub. Formal consultation and engagement with indigenous groups along the proposed CO2 transportation corridor and storage network began in the fall of 2023. Those discussions alongside meetings with communities and landowners continues to take place. The recent federal budget also signaled several important measures that could potentially help get the Pathways project to final investment decision, but more work is necessary. Lastly, I am excited to share that Bob Rooney is standing for election to MEG’s Board of Directors at the Corporation’s Annual Shareholders Meeting later today. Mr. Rooney is currently an executive advisor with Enbridge and has over 40 years of energy sector experience in strategic planning, capital allocation, corporate finance and governance. The board and I are looking forward to officially welcoming another remarkably qualified Canadian oil and gas industry veteran onto our team. As I bring my remarks to a close, I want to emphasize my commitment to the vision and strategic direction to our team that our team has established in recent years. With favorable price fundamentals and unprecedented egress capacity, MEG is well positioned to continue delivering long-term value to our shareholders. I am excited to move MEG forward into its next chapter. I’m confident in our ability to execute the 2024 plans with our team. On behalf of MEG’s board of directors and our management team, I want to thank you for your continued support. With that, I’ll turn the call back over to Colin to begin the Q&A.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session. [Operator Instructions] Your first question comes from Greg Pardy from RBC Capital Markets. Greg, please go ahead.
Greg Pardy: Yes. Thanks. Good morning and thanks for the rundown. Another solid quarter. Darlene and Ryan, I mean, the questions are really around return of capital. So the first one would be, is it possible that you could hit that $600 million floor by the end of June? Like, could you – do you think – is it possible for you to achieve it in the second quarter? And are you just being conservative in terms of thinking 3Q?
Ryan Kubik: Greg, it’s Ryan. I guess, it is possible, depending on what oil price you assume, FX rate, et cetera. So the possibilities there to hit the net debt target at $600 million. But once again, we’re going to continue to buyback our 2027 bonds that are outstanding. That will take us a little bit further into the quarter, and with that we’ll have US$600 million of total debt outstanding, the 2029 bonds. So we will hit it. We’re going to continue to buyback the bonds after that and make sure we give ourselves some runway out to 2029.
Greg Pardy: Okay. Thanks for that. And then the second question really comes back to dividends. But from two perspectives, I guess, one is, what’s the appetite amongst management team and the board for implementing just a base dividend? That would be question one. And then just sort of a subset related to the buyback. To the extent, you don’t have room under the NCIB to fulfill the 100%, would you just do variables to supplement things as need be?
Ryan Kubik: Yes. I mean, the base dividend that is under consideration by the board at this point in time, yet to be determined whether that decision is made, that’s a Board decision, obviously, but it is under consideration. We will continue to emphasize the NCIB to your point. So we will be emphasizing share buybacks. And under certain scenarios, you can hit the maximum 10% buyback under that program. I would say that we would – at that point, probably look toward an SIB rather than variable dividends. We do hear from our shareholders loud and clear that they don’t believe that variable dividends are appropriately priced into the share price. So less likely to put a variable dividend in place, more likely to look at an SIB.
Greg Pardy: Understood. Thanks very much.
Operator: Your next question comes from Neil Mehta from Goldman Sachs. Neil, please go ahead.
Neil Mehta: Yes, good morning, team. Would just love your perspective on where we are in terms of the egress dynamics and give quick update on TMX timing. What you think happens to the market when TMX comes online. And I guess the follow-up question is just, do you think Canadian oil producers grow into the incremental capacity? How do you think that plays out on the back end? So any big picture thoughts there would be terrific.
Darlene Gates: Thanks, Neil. As you might have picked up, we’ve got our Senior Vice President, Marketing here, just to answer these questions today, because it’s our special time. So I’m going to pass it off to Erik.
Erik Alson: Thanks, Neil. It’s Erik. We are looking forward to the imminent startup of the TMX pipeline. It is great for industry and Canada to have that tremendous asset available. With this critical infrastructure now complete, we anticipate that light heavy differentials will remain narrow for years while Canadian egress remains unconstrained. Your question about egress, I mean, as an industry, there’s a history of filling the available egress, and I think that will happen again over time. There are various estimates out there when that could occur. Seeing things as recent as two years, others within five or six, our thinking is closer to the outer end of that timeframe. Before TMX fills, I think you’ll see additional egress from an Enbridge mainline expansion. And while I don’t see another pipeline being built, I believe there’s debottlenecking of other existing pipelines that will occur.
Neil Mehta: That’s really helpful color. And it’s great to see this asset almost coming online. My follow-up is just on 2025 is going to be a heavier year as you have already signaled for turnarounds. So just love your perspective as you think about some of these maintenance projects and growth projects over the next year or two. What do you think the market should be aware of? What do you think is important? What do you want to accomplish, particularly in 2025, which is the biggest nut?
Darlene Gates: Well, I’ll start there. It’s Darlene. I would say, for 2025, as you mentioned, we’ve got our turnaround that we’ve got a lower activity level for 2024 that’s allowing us to plan better for the 2025 turnaround. We’re really looking at optimizing the scope of that turnaround to minimize its impact. Team is doing a lot of really good work right now. They’ve actually freezed the scope. That allows us to do a lot more better planning and scheduling and looking at the resourcing that we need. So we’re in really good shape there. A lot of good activity by the team to prepare for that. So we feel we’re in good shape. At the same time, you would have seen us introduce in the capital program expenditures for [indiscernible] for additional steam. That’s preparing for the possibility of 2025 of whether we’ll put additional steam into place that allows us to have that optionality. And then really our focus in 2025 will be the third processing train where we ramp up most of that project. By the end of this year, the team will have the final investment decision proposal for the board that will have a lot more certainty on that capital profile and scope and schedule, and we should have that in place and be in good shape.
Neil Mehta: Thanks, team.
Operator: Your next question comes from Dennis Fong from CIBC World Markets. Dennis, please go ahead.
Dennis Fong: Hi, good morning, and thanks for taking my questions. The first one maybe just comes off the back of some of your prepared remarks there, Darlene. You noted that there was a little bit of isolated impact from facility maintenance and cold weather. How should we be thinking about the cadence of driving the SOR back towards a lower level? Is that just like, well, startups, or are there other kind of considerations we should be thinking about?
Darlene Gates: Yes. Thanks, Dennis. Absolutely. You’ve got that right. The impact on the steam to oil ratio is really just the timing, for MEG this year, we usually have been starting up one pad a year. This year, we’ve got two pads, two rigs going. And as a result of that, we’re just pulling on that steam. And as you know, when we’re putting the steam in the reservoir, while we’re heating up the reservoir, we don’t get that production back initially, and that drives up the steam to oil ratio a little higher for this year. No other messaging in that.
Dennis Fong: Great. And then secondarily, I know you guys don’t hedge for realizations or kind of the top line quantity price risk management, but you guys do look at layering in some kind of quantity risk management related to cost structure. I was just wondering, how do you think about managing those costs through both 2024 and 2025, just given some potential additional egress that could come out from the natural gas perspective, as well as how you’re thinking about condensate in the go forward environment?
Ryan Kubik: Yes, I mean, I’ll start there. Dennis, it’s Ryan. We do look to hedge some of the input costs. I guess the natural gas input costs, the condensate to your point. We do have some positions on in 2024, but natural gas prices are relatively low this year. Start to tick up in the forward curve, I guess, into 2025 as LNG Canada comes on. I would say we still think that there is sufficient supply out there. When we look at the supply demand dynamics, we don’t necessarily feel like we need to rush to get any positions on to hedge those input costs. We will obviously look at it as the market dynamic kind of moves forward, but we’re comfortable staying unhedged on that position at this point in time as we move forward. On the condensate front, I would say similar thing. We are buying a significant portion of our condensate out of the U.S. Gulf Coast. Prices there continue to be soft relative to where they’ve been historically speaking, and we don’t feel. We feel that with differentials the way they are, et cetera. We don’t need to rush and hedge those input costs.
Erik Alson: Yes, this is Erik. There’s nothing I would add, other than we will typically look at nat gas condensate on a regular basis, and if we do see asymmetric risk, we would consider hedging, but it’s not something that we’re actively working on at this point.
Dennis Fong: Great. Thanks. And if you permit me, one quick follow-up to Neil’s question just on TMX. I know you guys have a fair amount of experience marketing barrels down in the U.S. Gulf Coast. How should we be thinking about the relative size of your committed capacity on TMX versus your ability to, we’ll call it market, either off the dock or how are you going to manage that exposure?
Erik Alson: Thanks, Dennis, it’s Erik again. You did mention the marketing capabilities that we do have out of the Gulf Coast. We will leverage those in how we’re marketing for TMX. I’ll say we’re augmenting the capabilities that we have by a partnership with a global operator that has extensive shipping capabilities. That partnership and the details of our kind of first sales are commercially sensitive, so I won’t get into specifics on that. So what I would say is the partnership is working as intended.
Dennis Fong: Great. I appreciate that color. I’ll turn it back.
Operator: Your next question comes from John Royall from JPMorgan. John, please go ahead.
John Royall: Hi, good morning. Thanks for taking my question. Can you talk about the production cadence for the rest of the year, particularly in the impact of turnarounds, albeit I know they’re minor and spread out this year, but will we see a slightly lower 2Q, albeit maybe not as light as typical. And how should we think about second half production given we’ll have the pad edition phasing in.
Darlene Gates: Thanks, John. It’s Darlene. As I mentioned in the discussion, the second quarter will be around 100,000 barrels a day. That’s the result. Q2 and Q3 will have more of our maintenance activity. So those will be impacted more through that, but not a major turnaround. Another way I would say it is if you look at the first half of 2024 compared to the first half of 2023, we’ve got a much higher production between the first half. So when you average it out between 2023 and 2024, looking stronger. As you look ahead to the second half of 2024, you’ll start to see the impact of that new pad being brought online. And we’ll be starting up the second pad in late, steaming that the second pad and bring that late. So again, finish strong campaign and come out exit rates should be quite high. Expect the second half for sure above 105,000 barrels per day.
John Royall: Okay. Thank you. That’s helpful. And then my next question is just on your tax status. So do you have any updated views sitting today in a somewhat improved price environment when you may flip to full taxpaying?
Ryan Kubik: Hey John, our best guess still is right around mid-2027 timeframe, we still got $4 billion of tax pools, a lot of those immediately deductible. So when we look forward, kind of mid-2027 timeframe still seems reasonable to us.
John Royall: Thank you.
Operator: There are no further questions at this time. I’ll turn it back to Darlene for closing remarks.
Darlene Gates: Thank you, Colin, and thank you to everybody that joined us this morning for our Q1 results conference call. We look forward to updating you again when we release our Q2 results in July. I hope everybody has a safe and great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.